Operator: Welcome to the Globalstar Inc. Third Quarter 2014 Earnings Conference Call. My name is Jackie and I will be your operator for today’s call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I would now like to turn the call over to Jay Monroe. Mr. Monroe, you may begin.
James Monroe III: Good afternoon, this is Jay Monroe, Chairman and CEO of Globalstar. Thank you for joining us today. Before we begin, I’m excited to welcome back Rebecca Clary to these calls this time as the company’s newly appointed CFO. Rebecca will kick off the call with a review of the financial results for the quarter. Following Rebecca’s remarks I’ll provide an operational and strategic update. We’ll follow with Q&A and Tim Taylor will join us for that. As we begin, I’d like to note that this call contains forward-looking statements that are intended to fall within the Safe Harbor provided under the securities laws. Factors that could cause results to differ materially are described in the forward-looking statement section of today’s press release and in Globalstar’s SEC filings. I’ll now turn the call over to Rebecca. 
Rebecca S. Clary: Thank you, Jay. Good afternoon everyone. Today our 2014 financial performance has demonstrated significant year-over-year improvement in almost every critical measure. During the last nine months we made significant progress in successfully expanding our duplex business by leveraging our second generation constellations which was completed in the third quarter of 2013. Key metrics from our duplex business experienced material growth on a year-over-year basis. With service revenues up 25%, ARPU up 18%, and growth subscriber additions up 24%. Successes in our SPOT and commercial simplex products and services further supplemented to price growth. Adjusted EBITDA increased over 70% to $13.6 million on a year-to-date basis from 2013 which was driven by a substantial improvement in total revenues. Now focusing on our quarter-over-quarter financial results. As shown on slide 2, our financial performance improved during the third quarter of 2014 compared to the prior year quarter due primarily to growth in duplex service revenue which increased 23%. As previously mentioned we continue to make substantial progress in enhancing our duplex business. This growth has been driven by an increasing subscriber base and higher ARPU levels. Comparing the third quarter of 2014 to the same period in 2013, the number of subscriber activations increased 23% growing ending of subscribers to over 65,000 as of September 30, 2014. Current take rates demonstrate that these subscribers are choosing rate plans that are on average more than 15% higher than our current ARPU level and 29% higher than ARPU in the third quarter of 2013. Our current lineup of rate plans provides a great value for our customers to experience an improved voice quality. In addition growth in our SPOT brand contributed substantially to the increase in total revenue this quarter. This was driven by a combination of increases in both service and equipment revenue. Ending SPOT subscribers increased over 15,000 from September 30, 2013 reflecting the success of new products introduced during the second half of 2013 including the SPOT Trace and SPOT Gen3. Decreases in revenue related to commercial Simplex resulted primarily from specific customer demand which is predicated on shipments to customers to meet their various commercial projects and needs, as well as the contractual rates in place with these customers during the respective quarters. Ending Simplex subscribers increased over 56,000 or 26% from September 30, 2013. However revenue growth from our Simplex customers is not necessarily commensurate with subscriber growth due to the various competitive pricing plans we offer as well as variations in customer usage. Globalstar reported adjusted EBITDA of 4.8 million for the three months ended September 30, 2014. Nearly a 100% increase from the 2.5 million reported for the third quarter 2013. As previously discussed, the continued improvement in Duplex service revenue was the main driver of the increase in total revenue contributing 1.5 million overall. Lower operating expenses were seen across all categories but were due primarily to increased expenditures in the prior year quarter to support our sales and marketing initiatives around the roll out of new products and services as well as brand marketing as we deploy the final second generation satellite into our constellations. The company incurred an incremental 400,000 related to these efforts in the third quarter of 2013 as compared to the third quarter of 2014. Net income was 129 million during the third quarter of 2014 driven primarily by a non-cash gain of a 167 million due to a decrease in the value of the derivative liabilities associated with our convertible notes. This valuation adjustment resulted mostly from the fluctuation in our stock price from June 30th to September 30, 2014. The derivative gains was offset partially by other non-cash items including depreciation, interest, and loss and extinguishment of debt. I would now like to provide an update on the company’s liquidity position. We ended the third quarter with an unrestricted cash balance of 27 million up 15% from June 30, 2014. Due to cash flows generated from our core operations. We also had 24 million available under the committed equity line with Terrapin which can be drawn through August 2015. And 38 million in a debt service reserve account which is restricted to make payments with principle and interest amounts due under the COFACE facility. Rejected contractual obligations over the next 12 months include primarily debt service payments estimated to be 27 million and amounts due to our spacing ground vendors totaling 31 million which is mainly for work being performed to upgrade our gateway infrastructure. Debt service amounts includes the first two principle payments due under the COFACE facility in December 2014 and June 2015, which is total of $7 million. As well as semiannual interest payments due under the facility and subordinated notes which in aggregate were estimated to be 20 million. We continue to decrease our outstanding debt balance through the conversion of the in the money notes. During the third quarter of 2014, an addition of 7 million of principle from our 8% notes was advertized. These conversions also eliminated the relative portion of derivative liabilities associated with the conversion option embedded in these notes as well as the future interest payments otherwise due on these notes. Deferred revenue also continue to increase during the quarter. This is an important message to the company and to our lenders as it is reflective of both our ability to generate operating cash flow and future revenue that will be recognized. Also important to note is that we are in compliance with all financial and non-financial covenants on part debt agreements as of September 30, 2014. To the extent that we do not need our covenant levels in the future. Our current facility agreement includes a mechanism that allows for a minimal cure of provision to avoid any event or default that ordinarily would result from non-compliance. Lastly we are encouraged by the growth in our core business during the first nine months of 2014 and are confident about our financial outlook and the positive trends we are seeing. As we have discussed with you in the last year earnings calls and is included in the third quarter earnings release, we continue to capitalize on opportunities around the globe to efficiently expand our footprint. We are leveraging existing partners in areas where we know that significant demand exists. Investments in our ground stations have been made over the past several quarters and the progress is ramping up. These efforts to upgrade our infrastructure will not only support improved service and hardware offerings in North America, but also in the various regions around the world where we are looking to expand our customer base and drive near and long term sales. I will now turn the call back over to Jay.
James Monroe III: Thank Rebecca. I am exceedingly pleased with the company’s continued progress especially with our nearly doubled adjusted EBITDA over the third quarter of 2013. These improving financial results demonstrate Globalstar’s unique value proposition and the successful execution of our strategic and operational initiatives. Quarter-after-quarter we consistently demonstrate the potential of our MSS business and the progress we’ve made after a significant turnaround period. As we look forward we are confident we will achieve substantial revenue, EBITDA, and cash flow growth. These are all functions of our ability to successfully expand our subscriber base since each new customer provides a very high margin contribution. The ability to grow our base is a function of three primary variables, these include one, expanding market share within our existing footprint. Two, expanding our footprint to cover additional territories. And three, introducing new products with increased functionality and at reduced prices. This third point drives the increased relevance of satellite technology and therefore satisfies our customers communication everywhere desire. These three variables are key components of our strategy and operational initiatives and we have made strong progress over the past year. I’d like to reflect on recent performance and provide an overview of our plans for continued growth. The team here is focused on these initiatives and I would like to thank all of our dedicated employees who execute against these key components daily. Every operating decision we make involves driving one or more of these pillars. We committed to increasing market share, expanding into new markets, and developing rolling out new products all with a disciplined capital allocation strategy and we are delivering on those commitments. The United States and Canada had been the company’s core operating territories since the original constellation was launched 15 years ago. We own the service in these areas of the market and we have a direct sales structure as opposed to working through an independent gateway operator. This setup provides the company with the highest net economics per subscriber while ensuring control of the customer experience. Through 2006, the primary North American business achieved 137 million of revenue and 34 million of adjusted EBITDA with effectively Duplex products only. At that time we had a nascent M2M business and the first SPOT product was still in just the early stages of development. Duplex provided a healthy stream of high margin business with accelerating revenue and EBITDA. We’ve overcome the challenges that Duplex experienced during the constellation reconstruction period and the share gains and growth opportunities available to us today are a testament to the significant progress we’ve made. Additionally we’ve built a 50 million annual one way consumer and commercial M2M business that we’re able to layer on top of Duplex. In North America we have reestablished our relationships with many dealers and expanded into additional channels, both are critical to our sales infrastructure. Importantly we have evolved our sales structure to include a reseller model, the primary MSS industry distribution structure. While dealers provide Globalstar with improved economics on a per subscriber basis, resellers provide the company with access to a much larger network of points of presence while also simplifying subscriber provisioning and subscriber maintenance. While we believe this evolution will continue over the coming quarters and years, the majority of our subscriber base whether mass consumer retail, commercial, government, enterprise will continue to be owned and directly build by us. Over the past year we have made doing business with Globalstar simpler and easier for our customers which is improving our competitive positioning. As we’ve discussed on previous calls, we have recently rolled out initiatives that allow our subscribers increased flexibilities by providing prepaid plans, increased rental options, no cost roaming through a large home zone footprint. This footprint now expands to include Canada, the U.S., Europe, Brazil, North Africa, as well as the Atlantic, Mediterranean, and North Sea. With regard to expanding our territorial footprint, we have made strong progress over the last year expanding these services. We believe we continue our expansion while maintaining a strict, disciplined, capital allocation strategy. On the international front we have initially focused on building out our Brazilian operations. After upgrading the gateways earlier this year, we worked to properly scale the sales and marketing infrastructure to support diverse industries including oil and gas, transportation, mining for street government, all day markets in Brazil. We believe the expansion in Brazil serves a test case to highlight our combination of quality coverage supported by appropriate sales resources and that is key to developing a successful global businesses and securing meaningful market share in any market. Today the early results of these efforts support the rationale for continued international expansion. A way of example, just a year ago Q3 of 2013, Brazil represented less than 2% of the company’s quarterly additions across all products and 3% of Duplex. These percentages roughly tripled in the third quarter of this year. This impact comes only months after we achieved critical mass in the sales organization and we expect sales performance to ramp even further as we build market awareness and more distribution. In fact we expect Duplex additions in Brazil to grow to approximately 30% of total additions within a two year period. We also expect the market for SPOT and Simplex in Brazil to be as strong as Duplex and we are encouraged by our performance in the quarter for SPOT. Immediately following the receipt of certification of SPOT Trace in Brazil, we received the largest single order ever for the product. It was in excess of 2500 units. Given relatively poor cellular infrastructure and non-continuous cellular systems, the market in Brazil for tracking services by a satellite represents a significant opportunity and Trace provides a low cost solution to fill that void. Our international expansion includes strategic expansion of our assets throughout all of South and Latin America. Recently we began building out a sales force in Columbia and growing the sales organization in Panama too. We’ve also entered into a preliminary agreement with TE.SA.M. Peru, Globalstar’s current IGO partner for the Peru main gateway. The agreement lays the foundation for Globalstar’s ultimate control of the Peru service area where we will run the gateway, control the market operations, and improve the sales structure bypassing the former wholesale IGO arrangement. This transaction is expected to be completed in early 2015, allows the (Technical Difficulty) existing gateway assets in Peru to expand our direct sales territory. We expect similar transactions with other IGOs to be executed over the coming years. On the Greenfield front, in September we announced the construction of a new gateway in Botswana to offer Simplex and SPOT coverage to the entire South African area with a local partner. Construction is nearing completion now and the gateway should be fully operational by the end of the year. This project fills in the largest remaining coverage area for our Simplex and SPOT services and we will soon provide service to almost every inch of the worlds inhabited land mass. Similar to our business in Latin America, Southern Africa is a significant opportunity for Globalstar to offer an affordable solution to highly fragmented existing wire line and cellular systems in the coverage territory. With a single contiguous service for asset and personal tracking, satellite provides an affordable solution. Further we underwrote the investment with interest from operators in the oil and gas sector with the current presence throughout the coverage footprint. This initiative allows us to deploy one of our spare gateways while leveraging the existing infrastructure onsite which was previously built for tracking, telemetry, and control operations during the launch of the constellation. The selection of the existing location provides a very attractive economic opportunity for the company where we can once again utilize existing assets and upgrade equipment for their highest and their best use. As we turn to new products, during the quarter Globalstar continued to advance its track record of innovative product launches with the introduction of the 9600. The 9600 connects to a Globalstar phone allowing existing satellite phone subscribers to pair their Smartphone’s or other Wi-Fi enabled devices to the 9600 to access the Globalstar network for data services. Priced at only $150, the 9600 is designed to offer an affordable data product for current Duplex subscribers while seamlessly using existing airtime plans. We are confident this unit will accelerate equipment sales and drive increased data usage. We’ve accelerated the roll out of our Sat-Fi technology, the first iteration in a line of future products that will provide Smartphone connectivity for both commercial and consumer applications. Our current product R&D efforts include reducing the products billed materials and decreasing the size to drive down the selling price. The upgraded choose base ground system and device ecosystem allows us to sell an inexpensive consumer device and we continue to believe that the future iterations of Sat-Fi will grow to become one of the company’s predominant product offerings. Hughes and Ericsson are hitting their scheduled milestones if we look forward to the completion of the upgraded North American gateways next year. These upgrades will increase data speeds by as much as 25x, complete our ground infrastructure upgrades, and greatly improved our handset capabilities to support multiple new applications. During the quarter Hughes delivered the first radio access network to our gateway in Texas and we are currently performing site acceptance testing. We are also installing the Ericson core network at the Clifton site and will soon implement the control software. Following this work, we will begin the integration process that will provide the first connection between the newly developed use in Ericson equipment. We look forward to completing the first site which will be followed by the roll out of the remaining North American gateways and then gateways around the world. As previously discussed we will continue to support the Legacy QUALCOMM equipment at these new gateways since its fully backwards compatible. Our internal engineering teams have also initiated work on the new Hughes chip based user terminals and other next generation products. This development effort will accelerate through 2015. In Q3, in partnership with ADS-B Technologies, Globalstar completed a 7000 mile comprehensive test flight of our satellite based ADS-B Aircraft tracking system. This test flight began in Alaska, travelled down to the Gulf of Mexico, and then back again. It was the world’s first full test for dual link space based ADS-B including extensive tests in virtually all flight environments. The flight showed that the technology works continuously by providing aircraft position reports in one second increments. We will keep working with the FAA to certify space based ADS-B which we expect will conclude successfully next year. I now want to update on the progress of the FCC. As you know, we started this process by filing a petition for rule making two years ago this month. We requested a full rulemaking to ensure that all interested parties would have an opportunity to comment and most importantly that any final decision by the FCC would provide Globalstar with permanent terrestrial relief. After two full years of consideration we are now approaching the finish line. We have recently met with various FCC officers and believe they are moving forward with the final decision in our proceeding. Though the FCC has not yet announced the exact timing of the final order, we do believe the FCC will adopt the rules if proposed promptly. In line with our statements last quarter, we have also filed additional experimental license applications for testing TLPS. These tests which are conducted by and for the benefit of potential long-term partners provide the opportunity for those partners to test TLPS in various environmental settings including outdoors and for a specific but varying applications. Before we turn the call over to the Q&A, I want to briefly address recent speculation of our company and the commentary from short seller Kerrisdale. We continue to believe that Kerrisdale reports and a tax on Globalstar, trying to be the most charitable here, demonstrate their lack of understanding of the company, the telecommunications industry generally, wireless network deployment specifically, and the actual physics of spectrum. Kerrisdale’s commentary is nothing more than an attempt to drive Globalstar's stock price down for Kerrisdale’s own short-term financial gain. All at the expense of Globalstar shareholders. Where they rely upon unnamed technical resources, our responses have been formulated with the help and advice of some of the most respected wireless industry engineers in the country. It’s important to note that we are well advised on this matter both technically and strategically but also understand that while they have had an effect on our stock price in the short-term with aggressiveness statements and technical absurdities, communicated by a social media and hastily assembled conference calls they will not affect our long-term value. Kerrisdale is excellent at skewing selective data for their own narrow self interest. However we appreciate the significant technical and financial due diligence performed by our investors which has helped affirm the value of the company and to spell the very underpinnings of Kerrisdale’s views. We have remained focused on growing our core MSS operations and are making progress on the FCC proceedings. The next few months are very important times for the company and we look forward to updating our shareholders as we hit additional milestones. With that we can now open up the call for questions. Operator 
Operator: Thank you. (Operator Instructions). And our first question comes from Jim McIlree of Chardan. Please go ahead.
James McIlree - Chardan Capital: Thank you and good evening everyone. Jay, at the end of your comments you talked about the FCC will adopt the rules that it proposes promptly and I was a little bit confused by what you are saying. Are you saying that there is going, that there is a -– the rules get propagated and then there is a break-in period and you think that break-in period sort of speak is going to be short? Is that what you are trying to say?
James Monroe III: No, Jim I’m sorry I was not clear. That’s not the case. What I really meant is that the FCC can issue a final rule almost at anytime. They can do it by circulation or they can do it by posting it at the public meeting and we anticipate that that will happen in the relative near term. I wasn’t implying that there was a two step process.
James McIlree - Chardan Capital: Okay, great and I’ll try to see if you’ll get more detailed on what you think the relative near-term or promptly means?
James Monroe III: I guess, here is my overall observation about the process. We think the FCC has done a terrific job in running a thorough process to invite maximum input from other parties over the last year or two. And so we think that they have all of the information they need to make a final decision. Clearly the FCC has a lot of interesting things on its plate right now with mega mergers, a spectrum auction which is taking place shortly, net neutrality, and so forth. And with those things in the pipeline it’s difficult to handicap with any great specificity exactly when something like ours will come out. The truth is though that this Chairman does not allow grass to grow under its feet and he is put a lot of things in motion which were on the back burner at the FCC. I mean he is trying to get those things completed as soon as possible. So we anticipate that ours will be no different. Its moving, it came out right at the beginning of this Chairman's Chairmanship and we know well that he is very, very aware of it. I mean, in the meetings that we have had at the FCC, at all levels in the FCC, we know that bureaus are writing an order. So it will come out in due course but we hope that it will be sooner than later but it will come out as soon as it's ready to come out Jim.
James McIlree - Chardan Capital: Okay, I thought that’s what I would get from you. The comments had been made recently not only from Kerrisdale but I think Iridium had a couple of comments and IVAS (ph) had a couple of comments, I am saying that one right?
James Monroe III: Does that really have an impact at this stage in the process. I mean we’re far past that comments and reply comment period. As far as I can tell it doesn’t seem none of those comments really seem to be adding anything to the record? Am I being a little bit too optimistic in thinking it really doesn’t have a big impact on the proceedings, but we don’t believe that any of those things that you mentioned have an impact on the FCCs thinking. I mean if you go back to order that they put out a while ago in a notice of proposed rulemaking that is their order. They said here is what is the outcome that we would like to see, if you have any information that bears on that outcome then please present it. That process is now almost exactly a year old. The Iridium comments are exactly what you would expect. They are competitive and they relate to a subset of the case. They deal with a slice of spectrum that Globalstar uses every day, that they would like to control so they are tangential to anything on TLPS. We’ve talked a lot about the Kerrisdale comments and I don’t believe the FCC has any concerns based upon what Kerrisdale has filed and IVAS is someone that’s been in this case since the very beginning. They have got a service which has to be respected in certain areas and it is respected on in certain areas. But it’s a service that does not impact us and we do not impact it. I mean in any meaningful measure and so we don’t expect that to be a problem. Even in this case the last comments have been made or more to say, you know, remember us or IVAS and we are still in this case as opposed to providing anything that was substantive against TLPS. So I think overall Jim, we are not worried about it.
James McIlree - Chardan Capital: Okay and I’ve got a few more questions but I can get back in line if you’d prefer.
James Monroe III: That’s fine, we’ll take another question. 
James McIlree - Chardan Capital: Alright I am trying to puzzle through this Brazilian ad that you talked about. I was just trying to do back of the envelope but it seems to me that if Brazil is now 18% of the, I am assuming that’s gross adds, and it was 3% a year ago doesn’t that imply that all other markets, the net adds are about the same that were not growing. That you are not growing the net adds in all other markets on a year-over-year basis? 
James Monroe III: No, Jim. So the number wasn’t from 3% to 18%, it was a triple. So it is still below 10%. 
James McIlree - Chardan Capital: Okay, excuse me. Alright you said triple and I heard 6 excuse me. Alright, great. So the question I’ll still ask you still have growth in net adds in the other markets? 
James Monroe III: We do in every market, throughout the U.S., Canada… 
James McIlree - Chardan Capital: And Rebecca couple of things for you. You mentioned something about 400,000 early in your remarks, could you just repeat what that was referring to?
Rebecca S. Clary: I was referring to the decrease in operating expenses related to the launch of the various SPOT products in 2013 and services that we introduced to the market as well. We had increased advertising expense in the third quarter 2013 by 400,000 relative to the third quarter 2014. 
James McIlree - Chardan Capital: But the service gross margins and the hardware gross margins are both down from Q2 levels, was Q2 unusually high and are these gross margin levels in both service and hardware, are those a normalized gross margin, going forward?
Rebecca S. Clary: I am sorry, on equipment I have a 23% margin for the quarter and as we’ve discussed that’s just going to trend with product. It’s been Duplex in start, with Duplex having a tighter margin. On the service side I have margin of 58%, unfortunately I don’t have the second quarter margin in front of me. 
James Monroe III: Jim to follow that up with some more detail in Q2 at least, sequential quarter-over-quarter you had a pretty substantial sale in Q2 for a very high margins Simplex equipment. That margin is significantly greater in Simplex than it is for SPOT or Duplex. We essentially sell Duplex pretty close to cost and obviously the Simplex ARPU is lower. But that significantly inflated the total gross margin for Q2 and we wouldn’t expect that type of inflation on average going forward.
James McIlree - Chardan Capital: Right but the service gross margin at least the way I calculated it was 60% in Q2 and is that also related to some one time things, I am just trying to peg what’s the more normal -- what’s the better number going forward, is it closer to like that 57% or 58% or closer to the 60%?
James Monroe III: I think going forward, you are going to have a slight increase where it could even expand beyond 60% slightly. So I would say between long-term, between 60 and the mid 60s would be the max.
James McIlree - Chardan Capital: But that’s the long-term and that will be something that you glide pass towards?
James Monroe III: That’s correct. 
James McIlree - Chardan Capital: Okay, great. The last one,
Rebecca S. Clary: And just to add little bit of color Jim, we’ve talked about these concepts in the past. The third quarter cost of services was a little bit high compared to second quarter because we had a little bit more gateway work that was kind of seen off and on for the last couple of years in terms of repairs and maintenance at various gateways. So we had that in the third quarter and then in the future we might see an increase in capitalized salaries related to our ground work with Hughes and Ericson which we have a reduction in expenses?
James McIlree - Chardan Capital: Great and this is my last one, so the marketing and G&A cost were up fairly substantially quarter-to-quarter. I think you were 8.9 million this quarter versus 8.2 million in Q2. When -- does that continue to rise as you continue to enter markets like Brazil, Colombia, Peru or is that to start growing at lower rates at some point?
Rebecca S. Clary: Various amounts include pretty healthy stock and so you should probably adjust the items that we have on the EBITDA reconciliations page to kind of get a normalized level. So once you do that you’ll see Q2 has MD&A of 7.6 and Q3 with 7.5. That’s probably a better run rate to be looking at.
James McIlree - Chardan Capital: Okay, great. Thanks a lot and thank you very much and thank you for indulging my litany of questions.
James Monroe III: Thank you. 
Operator: (Operator Instructions). And our next question comes from Jason Bernstein of Odeon Capital. Please go ahead.
Jason Bernstein - Odeon Capital: Hi, good evening. Just a couple of questions if I can, just wanted to follow-up on the San Carlos testing, will those results be posted to the docket and the FCC is going to wait on that in any way they perform in making their decision?
James Monroe III: No and no Jason. Those are tests being run by a third party. We filed the license for them but they are being conducted by a third party, that information will be available to them in their testing but is subject to a confidentiality agreement. And no, the license is not even issued yet and that process with the FCC can take a month or two. So we haven’t even begun the testing in San Carlos yet.
Jason Bernstein - Odeon Capital: Got it and I saw that the ARPU ticked up on Duplex, what would you guys think is a target where you want to get that back to?
Rebecca S. Clary: The $40 level at third quarter reflects an increase over second quarter because Edwards, adding subscribers to the network by coming on at our current lineup of rate plans which I mentioned in my previous remarks. On average we are seeing those ARPU levels around $46 just in terms of the blend of what rate plans people are opting for. So it will take a while for that $46 level to kind of filter through the base because we probably have about half on current rate plans and the other half on our legacy plans. So that’s kind of the relationship there and then just keep in mind that 2Q and 3Q are seasonally strong for us. So there is a usage component that needs to be factored in, in terms of forecasting what ARPU would be in the next couple of quarters. 
Jason Bernstein - Odeon Capital: Got it and Jay I am wondering if you can prolong your thermo hat of course for a moment with the level 3 Time Warner Telecom deal closing, are you able to disclose what the cash proceeds from that was to thermo?
James Monroe III: Jason, that was largely a stock for stock transaction that also had a cash component. And no, I won’t talk about what that cash component is. So sorry but that’s kind of a different pocket. But generally speaking we have been a committed long-term investor in Globalstar since 2004 and we will do what is in the best interest of our shareholders with respect to continued investment in the company. And whether that comes out of the proceeds of the merger with Level 3 or just our accumulated cash and other investments is a matter of internal decision that we’ll make at thermo. But either way we will continue to be an investor in Globalstar. 
Jason Bernstein - Odeon Capital: Got it, thank you.
James Monroe III: Welcome.
Operator: And I am showing no further questions at this time. 
James Monroe III: I see one more.
Operator: And we have a question from (inaudible). Please go ahead.
Unidentified Analyst : Good afternoon, I had just an anecdote to make. I have been Globalstar phone user for probably 10 or 12 years and in recent years use the call times tool in order to connect when I was in remote locations and I just want to say that this past September I was up in the remote wild of the Northern Maine by the Canadian border and had month for a few days and had my Globalstar phone the old one that’s probably 15 years old now and literally had 100% 24x7 reliability at all times. Man the service was literally was 100% and my question arises with this improved Duplex service as people are aware of it and the service gets used and before the new handsets are available, using the Hughes chipsets, do you have sufficient availability of equipment that will meet growing needs for Duplex service?
James Monroe III: Yes Liman (ph) we actually do. It comes in multiple flavors as you know, there are handsets that we have an inventory, that were manufactured for us by QUALCOMM and there seems to be an adequate supply of those before the new handsets are cut over, once the ground infrastructure is completed towards the end of this year. And to extent that we have additional handsets after the gateways are cut over to Hughes based, those additional handsets can be used elsewhere in the world. We also have a supply of Sat-Fi’s utilizing the QUALCOMM 1720 board and that product as well will be available in this market and then ultimately we’ll transition that product into the smaller form factor product using the Hughes chip architecture and the Hughes chips themselves. So we are anxious to make certain net at all times. We have something to sell to our customers and are of course overjoyed that your experience has been as good as it is. Thank you.
Unidentified Analyst : Thanks.
Operator: And I am showing no further questions at this time.
James Monroe III: Okay, thank you all for joining the call today, we appreciate it. 